Operator: Thank you for standing by. This is the conference operator. Welcome to the OpenText Corporation First Quarter Fiscal 2023 Financial Results Conference Call. As a reminder, all participants are listen-only and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would like to turn the conference over to Harry Blount, Senior Vice President, Investor Relations. Please go ahead, sir.
Harry Blount: Good afternoon, everyone and welcome to OpenText’s first quarter fiscal 2023 earnings call. With me on the call today are OpenText’s Chief Executive Officer and Chief Technology Officer, Mark J. Barrenechea; and our Executive Vice President and Chief Financial Officer, Madhu Ranganathan. Today’s call is being webcast live and recorded with a replay available shortly thereafter on the OpenText Investor Relations website. Earlier today, we posted our press release and investor presentation online. These materials will supplement our prepared remarks and can be accessed on the OpenText Investor Relations website, investors.opentext.com. I’m pleased to inform you that OpenText management will be participating in the following upcoming conferences: RBC Capital Markets Global Technology Conference on November 15 in New York; Needham’s Virtual Big Data Infrastructure and Cloud Communications Conference on November 16. TD Securities Technology Conference on November 21 in Toronto, Credit Suisse Technology Conference on November 29 in Scottsdale, Bank of America’s Leveraged Finance Conference on November 30 in Boca Raton, Raymond James Technology Investor Conference on December 5 in New York. NASDAQ’s Investor Conference on December 6 in London, U.K., NBF Technology Conference on December 7 in Toronto and Barclays Global Technology Media and Telecom Conference on December 8 in San Francisco. And now on to our Safe Harbor statement. Please note that during the course of this conference call, we may make statements relating to the future performance of OpenText that contain forward-looking information. While these forward-looking statements represent our current judgment, actual results could differ materially from a conclusion, forecast or projection in the forward-looking statements made today. Certain material factors and assumptions were applied in drawing any such statement. Additional information about the material factors that could cause actual results to differ materially from a conclusion, forecast or projection in the forward-looking information as well as risk factors that may project future performance results of OpenText are contained in OpenText’s recent Forms 10-K and 10-Q as well as in our press release that was distributed earlier this afternoon, which may be found on our website. We undertake no obligation to update these forward-looking statements unless required to do so by law. In addition, our conference call may include discussions of certain non-GAAP financial measures. Reconciliations of any non-GAAP financial measures to their most directly comparable GAAP measures may be found within our public filings and other materials, which are available on our website. And with that, I’ll hand the call over to Mark.
Mark Barrenechea: Thank you, Harry, and welcome to today’s call. OpenText fiscal ‘23 is shaping up to be a transformative year. My comments today focus on 3 key points. First, OpenText is executing very well as demonstrated by record cloud revenue, record cloud bookings, record annual recurring revenues and solid renewal rates. We are acquiring Micro Focus from a position of strength. Second, the second consecutive quarters of organic cloud growth in constant currency reflects the innovation investments we have made over the last several years, inclusive of Titanium, a key pillar of our future growth. Third, the acquisition of Micro Focus when closed enhances our leadership position in information management and broadens our capabilities to deliver business 2030 to our customers. Let me start with our strong Q1 year-over-year results. Record Q1 revenues of $852 million, up 2.4% on a reported basis; in constant currency, revenues were $892 million, up 7.1%. Record Q1 cloud revenues of $405 million, up 13.5%; in constant currency, $417 million, up 16.9%. Cloud was 47% of total revenue, the highest in our history and the seventh consecutive quarter of cloud organic growth in constant currency. Enterprise cloud bookings were strong in the quarter, $112 million, up 37%. And on a trailing 12-month basis, enterprise cloud bookings were $496 million, up 36%, ARR of $722 million, up 4.4% and up 8.9% in constant currency. ARR reached 85% of total revenue, the highest in our history and the seventh consecutive quarter of ARR organic growth in constant currency. Enterprise renewal rates were rock solid with cloud at 94% and off-cloud at 95%. Adjusted EBITDA margins remain upper quartile at 35.7%. Free cash flows were $96 million, notably and meaningfully impacted by foreign exchange, tax and our accelerated investments in Q1 as we approach Titanium. We expect full year fiscal ‘23 free cash flows of between $725 million to $750 million. Today’s financial results and customer trust are further validation of our momentum. Within the quarter, we were proud to partner with the Fifth Third Bank with over $200 billion of AUM, leveraging our cloud business network for payments, University of Winchester for Forensics and Mutual for our experience cloud and client communications, Close Brothers and our content cloud for capture and information archiving, one of the key Dutch water boards using our content cloud for complete information management and Microsoft integration and large technology partnerships that got deeper within the quarter. Our go-to-market relationship with Microsoft or mid-market, new support for Google Workspace, new integrations to Salesforce and full product support for SAP applications in the cloud. Let me turn to our fiscal ‘23 targets. And please recall, we view our business on an annual basis, not a quarterly basis. This is important today and will be even more important with Micro Focus. We are an annual business. We plan on an annual basis, and we think in annual cycles. Further, the following does not include Micro Focus contributions, and we do not intend to speak to a combined target model until we close. Cloud continues to accelerate, and we’re updating our F ‘23 outlook to reflect this. We expect this year in constant currency cloud bookings growth of greater than 15%. Cloud revenue growth of 8% to 10% support revenues to be constant, ARR to be up 82% to 84% of our business and with cloud being up, we expect license to be down 8% to 10%. We are reaffirming our total revenue growth outlook of 3% to 4% growth with even stronger cloud performance. Our R&D projected spending range is at our historic highs of up to 14% of revenues as we strategically invest in Titanium and in private, public in our API cloud. The OpenText Information Management Cloud is global that’s [indiscernible] of guaranteed availability, we write this into contracts. It is secure, trusted and open. These investments include critical capabilities to be the most trusted cloud such as regional data zones, high security and modern compliance processes such as SOC 1, SOC 2 FedRAMP, StateRAMP, Protected B, BaFIN, GXP and a dozen more compliance standards. These are very difficult and differentiated capabilities. With these investments, we set the table for continued organic growth, and we expect adjusted EBITDA between 36% to 35% on the full fiscal year. As we noted, F ‘23 free cash flow to be between $725 million to $750 million. Let me turn to Business 2030. At OpenText World, I shared that Titanium and Micro Focus are strategic pillars for us and that Business 2030 is foundational. Information sources and information volumes are expanding exponentially. Business 2030 will see all industries radically transformed and digitized a new human-centric work place dominated by Gen Y and Z looking for more purpose and more total experiences. And there are new priorities in Business 2030, such as sustainability, automation, incorporating more machines, AI-driven growth based on platforms of information and software. Information is the new fuel and Business 2030 is happening. In light of this, customers need to own their digital fabrics and complete their digital transformations and look beyond to new rules and new requirements for Business 2030. To be prepared, all companies are becoming information companies and all need to be software companies. OpenText enables customers to connect and automate core workloads in the cloud. Today, we are the secure information fabric for business apps in the Global 10,000 across supply chains and millions of edge devices. The fourth industrial revolution created the beginnings of digitalization, then the pandemic accelerated digitalization. Current supply chain challenges, inflation and sustainability are only providing more stimulus for digitalization. We see no slowing of digitalization as companies strive for Business 2030. And as companies wrangle, silos of information across multiple cloud environments to deliver these new digital business models, they need new ways of working to be intelligent, connected and responsible. Let me be frank, digitalization is the only answer. And companies want to work with brands like OpenText who are experts, who are investing, who have staying power and our leaders in their market. We envisage a future where all business information flows through the OpenText Cloud, where information management elevates every person and every organization to their fullest potential. It’s an exciting time for OpenText. The type of data information that we manage is ever growing, structured, unstructured, fast flow, core edge, humans, machine-generated robot generation, generator and soon within IT infrastructures and across the application life cycle. The automation of business, the automation of IT and of their value streams each information led is essential to scaling digital business. OpenText’s Cloud Editions is the platform of platforms for information management at scale and in the cloud. We are the Intelligent Information Core for business. And we just demonstrated this at OpenText World, Cloud Editions 22.4, showcasing how customers can create that intelligent connected and responsible business with integrated data and advanced information management. At OpenText, we delivered significant innovation every 90 days in to cloud to help customers be ready for the known and the unexpected for ever-growing compliance and data sovereignty regulations and greater insight in business agility. We are 31 years young as a cloud company, and we have a comprehensive strategy for information management that puts content, experience, business networks and cyber resiliency markets with the full consumption choices of off-cloud, private cloud, public cloud and as a developer cloud. We provide our 75,000 off-cloud customers choice on how they can resume. We are proud to call 97 of the top 100 companies and 40 of the 50 largest supply chains customers. We have over 3,000 private cloud customers. We added another 100 last quarter. We have over 780,000 businesses relying on OpenText SMB every day to protect, block, backup and restore their information. As Hurricane Ian approached, we worked with dozens and dozens of businesses to ensure their digital lives were secured. Our strategy is unique and continues to be validated by our customers. In June, we announced Project Titanium, our innovation roadmap to extend all OpenText software to the public cloud and APIs. We are already winning new public workloads through core content business network foundations and over our 2 dozen APIs. Project Titanium enables us to address the fastest-growing development choices for our customers. The demand for the OpenText Cloud remains strong, and we expect it to be our leading growth driver. The global shortage of IT labor and growing regulations by industry, including healthcare, financial services and government are fueling our cloud growth and content services business networks and digital experience. Moreover, Cyber Resilience is top of mind for all businesses of all sizes, and we are we’re pushing - forward leading solutions in threat intelligence, endpoint, network protection and backup and recovery. Let me turn to Micro Focus. It’s the right asset at the right time. Micro Focus customers want the same deployment choices OpenText customers enjoy off-cloud, private cloud, public cloud and APIs. We see the opportunity to bring cloud capabilities to Microsoft customers and at an accelerated rate. Following closing of the acquisition, Micro Focus will bring significant expanded product capabilities and growth opportunities. Let me summarize what we see as the top growth drivers and value on lockers. Cyber resilience, we are very excited to bring customers a full stack security offering from the edge to the cloud to trusted identities to writing secure software and forensics. Content management, the enhanced capabilities of AI, video and audio content, voice content that can bring to – that we can bring to our mutual installed base and to attract new workloads. The transformation of IT operations management or ITOM in the public and private cloud, the elevation of the developer with application delivery management and application life cycle management and our APIs and our developer strategy, application modernization connectivity from all the important mission-critical technologies from EDI to Cobalt to amplifying current modernization tools and distributed workloads and adding aspects like AppWorks APIs and more and advanced AI and machine learning with Magellan, Vertica and Idle. Across all of these, we see an opportunity for Micro Focus customers to benefit from the OpenText private cloud. For Micro Focus customers to benefit from the OpenText renewals approach, jointly deeper strategic relationships into the Global 10,000 and new buying centers and deeper strategic relationships to Lalor’s largest technology companies and more access to markets. We have been transitioning the OpenText installed base to the cloud over several years, and you see the success is right in front of us in the numbers. We intend to do the same for Micro Focus customers, but even faster. Let me provide an update on the Micro Focus transaction. On August 25, we announced our firm intent to acquire Micro Focus. October – and on October 18, Micro Focus shareholders approved the all-cash offer. This is an important milestone. Earlier today, Micro Focus issued a transaction-related update containing financial information for the 3 months ended July 31. While we are not commenting on their business or financials, today’s update is consistent with their public statements of expecting to exit their fiscal ‘23 being flat or better. We remain on track to close this acquisition next quarter. Please recall, concurrent with our August 25 announcement, we entered into a $4.6 billion term and bridge loan commitment, which remain undrawn to satisfy certain requirements under the U.K. takeover curve. Subject to market conditions, we intend to further syndicate the term loan and reduce commitments under the bridge loan by accessing the debt capital markets. While we are making strong progress in our pre-integration planning, we have confidence and our proven OpenText business system, given the proven integration successes, that has delivered over time. This is our power alley. Let me reaffirm the commitments we made on August 25. We’re turning Micro Focus to organic growth, accelerating Micro Focus cloud growth and improving the renewals business. $400 million of cost optimizations, upper quartile adjusted EBITDA and free cash flow, continuance of our dividend program, a rapid deleveraging program, bringing our leverage down to less than 3x within 8 full quarters of closing. Our cash priorities are twofold: investing in the business for growth and paying down debt to less than 3x leverage. We will reconsider a share purchase program upon delevering, and we’re going to provide enhanced visibility into our high-value business areas to demonstrate our progress and value our lockers, inclusive of our Q1 visibility into our cloud bookings. Let me conclude my prepared remarks. There are some current and compounding challenges in the world, inclusive currency, wage and goods inflation, fuel prices, Russia’s War in Ukraine, supply chain constraints, skill shortages and more. OpenText has its playbook, we are ready, and I can’t say this enough, the only answer is digitalization and to prepare for the new rules and paradigms of Business 2030. We are all information companies. We are all software companies. We ended the first quarter with demonstrable momentum behind our growth engine. The best talent is the talent you have, and we are investing in our talent. We are hiring. We are investing in innovation. We’re creating new channels in our go-to-market strategy such as SMB, API and partners. We are going for share gains and growth at this point in time. With our reaffirmation of our annual targets, cloud acceleration, strong first quarter performance, it reflects the strength durability and resiliency of the OpenText business model, but missed these global macro dynamics. Upon the acquisition of Micro Focus, OpenText will be one of the world’s largest software and cloud companies with even larger and more diverse global customer base at greater scale, pursuing a $170 billion addressable market. Micro Focus is the right company and the right opportunity with amazing products, strong talent, marquee customers and valued intellectual property and is a company that can gain value from the OpenText business system. I am so proud of the team for their incredible focus and execution and committed to company success. Maybe the one that brings bring peace for all. With that, let me turn the call over to Madhu, my business partner and OpenText CFO.
Madhu Ranganathan: Yes, thank you, Mark, and thank you all for joining us today. All references are in millions of USD and compared to the same period in the prior fiscal year and are on a reported basis unless stated otherwise. So let me start with an overarching comment. OpenText’s Q1 results, they reflect continued strong execution in a dynamic macro environment. Our results are consistent with expectations we shared with you on our last earnings call in August. We are well positioned to continue to execute on our strategic priorities and well prepared for the upcoming closing and integration of Micro Focus. Q1 revenue, we are very pleased with our Q1 revenue performance. I will add a few comments here – in addition to the highlights shared by Mark. First, on foreign exchange, the U.S. dollar once again strengthened in the quarter. FX in Q1 was a revenue headwind of $40 million. Approximately half the impact was on customer support and another 30% on cloud. We grew total revenue 7.1% in constant currency and 2.4% on a reported basis, the best Q1 in our history. Cloud renewal rate was 94%, steady sequentially and year-over-year, while off-cloud renewals reached 95%, the highest rate in the last 3 years. Enterprise cloud bookings, our trailing 12-month enterprise cloud bookings were a very strong $496 million and $112 million in quarter, the highest in our history. The booking strength was broad-based across most products and geographies. We continue to see the number of large cloud deals and average minimum cloud contract value increase. And many of these large cloud contracts have a duration well in excess of 3 years. Healthcare as a vertical stood out as an area of strength across our cloud. In content, we call our tourism food services and utilities in experienced life sciences and insurance and in business network, banking and professional services. Now moving to other financial metrics on a year-over-year basis, gross margins improved in all items, and let me expand in cloud and customer support gross margin on a non-GAAP basis. Cloud gross margin was 67.9%, up 120 basis points compared to Q1 fiscal ‘22. Customer support gross margin was 91.6%, 20 basis points higher than Q1 fiscal ‘22 and reflecting the continued stellar management of our marquee installed base by the OpenText worldwide renewals organization. Our expenses were up $41 million on a non-GAAP basis related to revenue growth and investments in R&D and sales and marketing. The growth investments we have made over the last several years have paid off in the form of continued year-over-year organic growth in cloud and ARR, as Mark shared over seven consecutive quarters. Adjusted EBITDA for Q1 was $304 million or 35.7% of revenue versus 3.23% or 38.9%. On a constant currency basis, adjusted EBITDA was $320 million or constant year-over-year. GAAP-based net income was a loss of $117 million during the quarter compared to income of $132 million in Q1 fiscal ‘22 due primarily to non-cash expenses for Micro Focus-related derivatives. Now let me expand the derivatives. First, these charges were non-cash in nature. In connection with the proposed Micro Focus acquisition, as noted in our August 25 announcement during Q1, we entered into derivative transactions. $1.825 billion of GBP forward contracts to satisfy UK cash confirmation requirements relating to the GBP-denominated purchase price and $1.38 billion of cross currency swaps relating to Micro Focus existing euro-denominated debt to fix its cost. As the acquisition is not complete, these instruments did not qualify for hedge accounting and were measured at fair value at the end of Q1 compared to August 25, the transaction date. The fair value changes were primarily driven by large FX fluctuations in GDP to USD, which resulted in a $181 million of unrealized losses for Q1, and these were recorded to other income expense line with the offsetting net liabilities recorded within current accounts payable and accrued liabilities. You will note that our GAAP effective tax rate in Q1 was a negative 40.4%, driven by this non-cash book loss of $181 million from the derivative instruments. I have to say these losses have partially recovered since September 30 and will continue to be mark-to-market through the P&L until the close of the acquisition. All detailed disclosures are available in our Form 10-Q filed today. Turning to operating and free cash flows, we generated $132 million in operating cash flows. Free cash flow in the quarter was $96 million or 11% of revenue. Q1 is a seasonally lower cash flow quarter. During Q1 fiscal ‘23, let me share a few other factors. We continue to invest in talent, innovation and go-to-market initiatives. The foreign exchange impact was a headwind of $35 million to our collections. $26 million of higher cash taxes versus prior year and primarily due to Section 174 of the U.S. tax provisions acquiring companies to capitalize R&D at a higher base than before. This was effective July 1, 2022, for us and also higher related installment payments. Given our continued and significant momentum into the trial, we decided to front end load the year our CapEx investments. CapEx disbursement in Q1 was $36 million or approximately 40% to 45% of our full year budget and compared to $27 million in the prior year. The OpenText working capital engine has never been stronger. DSOs were 40 days in Q1, flat with the prior year and improved from 43 days in Q4 fiscal ‘22. Cash conversion cycle remains a high positive of 25 days and we remain ready to scale with the pending Micro Focus acquisition. Our business is annual and the quarters will vary. So today, we’re providing you our expectations for full year fiscal ‘23 free cash flows to be approximately $725 million to $750 million or upper quartile low 20s as a percentage of total revenue. Turning to balance sheet and liquidity, we ended the quarter with $1.7 billion of cash, another $750 million on our undrawn revolver, a very strong net leverage ratio of 2.1x. And as of September 30, approximately 75% of our outstanding debt is fixed. On outlook, let me turn to our targets and aspirations. The U.S. dollar remains strong. We plan our business in constant currency and will present our business on a constant currency basis for our quarterly factors, total growth strategy and medium-term aspirations. For the second quarter of fiscal ‘23, you will see our quarterly factors outlined on Page 9 of our investor presentation. For Q2, on a year-over-year basis in constant currency, we expect cloud revenue up 12% to 14%, ARR up 6% to 7%, total revenues up 4% to 5%. We expect FX to be a revenue headwind of $50 million to $55 million. We expect constant currency adjusted EBITDA dollars to be flat year-over-year as we continue to make investments in cloud security and edge. We expect FX to be an adjusted EBITDA headwind of approximately $30 million. Again, all of this is available in our investor materials. Turning to fiscal ‘23 total growth strategy is provided on Page 10 of our investor deck and let me refer you back to Mark’s commentaries earlier with added clarity relating to foreign exchange. Please note that we continue to share our materials in constant currency. At current rates, we expect the full year fiscal ‘23 FX headwind of approximately $160 million to $170 million, up from a prior estimate of $100 million. Turning to free cash flow and capital allocation, on Page 14 of the investor presentation, we have added a new metric for fiscal ‘23 free cash flows. As mentioned earlier, excluding Micro Focus, we expect fiscal ‘23 FCF to be in the range of $725 million to $750 million or upper quartile low 20s range as a percentage of total revenue. We are leaving our fiscal ‘25 FCF aspirations unchanged at $1.1 billion. And let me comment further on our capital allocation priorities. First, as already highlighted, during the Micro Focus announcement, our priority after closing will be to bring our net leverage ratio to less than 3x within eight quarters – eight full quarters; and second, continuance of our dividend program, 20% of trailing 12-month free cash flows and dividend payout. Third, as Mark noted, we will reconsider our share buyback program upon deleveraging. On medium-term aspirations on Page 12 of the investor presentation, you will see our details for fiscal ‘25, which again excludes Microfocus. There are no changes to our outlook, except for the change in capital allocation that I just mentioned. Turning to dividend as part of our quarterly cash dividend program, our Board declared on November 2, 2022, a cash dividend of $0.24299 per common share, the record date for this dividend is December 2, 2022, and the payment date is December 22, 2022. And let me summarize strong execution with the team as we kicked off our first fiscal quarter in a dynamic macro environment. We’re executing very well on OpenText’s strategic priorities and we’re approaching the acquisition of Micro Focus from a position of strength and leveraging our proven OpenText business system and the integration playbook. On behalf of OpenText, I want to thank our shareholders, loyal customers and partners and a special thank you to my OpenText colleagues around the globe, you are a remarkable team. I will now turn the call over to the operator for your questions.
Operator: Thank you. [Operator Instructions] The first question comes from Steve Enders of Citi. Please go ahead.
George Kurosawa: Hi, thank you. This is George Kurosawa on for Steve. Just to start with some of the regulatory macro question. Can you guys give us an update on anything you see in terms of customer budgetary changes and behavior in reaching deal cycles, just anything you have right there? Thank you.
Mark Barrenechea: Yes. Thank you for the question. It’s steady as you go right now. So in our part of the – of spending centers, as I talked about, the demand for digitalization continues strong and the continued migration of our installed base, new SaaS workloads that have come into our revenue streams, large business network customers consolidating global security, trust and compliance requirements. So I’d say it’s steady as you go. And I wouldn’t shout out any changes on the dynamic over the last couple of quarters.
George Kurosawa: Great, thank you. And then as a follow-up, between the different areas of the portfolio, any areas you’d point out being stronger than expected or maybe a little bit softer than expected relative to your expectations? Thank you.
Mark Barrenechea: Yes, thank you again. Continued strength in migration to the private cloud for content and experience, we have new SaaS workloads coming in, both in our bookings and our revenue stream. As we talked about Titanium is a point in time, like 23.2%. But every quarter, we’re releasing more and more public SaaS capabilities both in core content, core capture, core workflow, core e-signature and we’re winning business and it’s turning from bookings to revenue and our APIs. I’m quite excited about that. Titanium is starting to happen, and you can see it in our P&L and in our investments. Business network, strengthening as the requirements in supply chain have gotten more difficult, where more watch tower requirements are required, where there is more regionalization. We’re in a position of strength to help deliver against that. And we have some unique dynamics in our SMB business that are positive to us in our SMB business. We have strong renewals execution. We have the opportunity as upsell customers from E3 to E5 type of SKUs. We have a couple of competitors that are distracted in the marketplace. So we’re looking to take some share gains. We’re adding our own IP into SMB from everywhere from backup threat intelligence and now encrypted e-mail. And we’ve got the ability to cross-sell Zix into carbon Webroot and Webroot – and Carbonite into Zix. So those are some of the favorable mix shifts that we’re seeing. We certainly have some countries that are a bit more affected in the dynamic. But the net of it all is quite a positive. I’ll note that we exited Russia very early on a while ago. We didn’t really have exposure in Belarus or Ukraine. So those things are not affecting us at this point.
George Kurosawa: Great, and thanks for taking the questions.
Operator: The next question comes from Stephanie Price of CIBC. Please go ahead.
Stephanie Price: Hi, good evening. Curious about the mix shift in your target model so cloud growth is up about 200 basis points at the midpoint and licenses down significantly, just curious what you’re seeing from clients that’s driving the revised target?
Mark Barrenechea: Yes, thank you, Stephanie. And yes, I mean, we had stellar cloud bookings in the quarter, up 37%. And on a trailing 12-month basis, cloud bookings up relatively the same 36% or just 1 percentage point difference. I mean that’s just stellar growth. And look, we’re winning – we win work and we win workloads. The question is how does the customer consume them? Do they consume them private cloud? Do they consume them in our public cloud or do they consume them and want to own a license upfront. So with cloud up 37% in bookings and license down about 10% or a little less in constant currency, that’s very favorable to us. So the net of it is share gains in that ratio. The net of that is clearly share, gains up 37% up and 7%, 8% down in constant currency. What’s driving talent shortages, the need – all the things we’ve talked about, the need to go faster, globalization, compliance, trust. We added 100 new customers in the private cloud in the quarter, new public SaaS revenues flowing through the income statement now. So tell us a little more insight, Stephanie.
Stephanie Price: Thank you. And then Micro Focus released Q2 results this afternoon. I know you don’t want to speak specifically about the results, but obviously, constant currency revenue decline of 5% was an improvement over the first half levels. Just curious how you’re thinking more generally about the opportunities and the biggest opportunity as you look to stabilize revenue in the business?
Mark Barrenechea:
code#1:
Stephanie Price: Thank you. 
Operator: The next question comes from Paul Treiber of RBC Capital Markets. Please go ahead.
Paul Treiber: Thanks so much. Good afternoon. Just a follow-up question on Micro Focus, you had your user conference in October. What’s been the feedback from your customers in regards to Micro Focus? And do you see your existing customer base as already large Micro Focus customers?
Mark Barrenechea: Yes. Paul, thanks for the question. I am not ready to get into that level of detail, right. And kind of percents of installed base or percent penetration, there is a bright line opportunity in the OpenText installed base, bright line opportunity. And we will talk more about that cross-selling opportunity when we post post-close. The conference, our OpenText World, I guess last time flies last month, we call this the Greater Union. It was so wonderful to be in person, 1,200 people another 10,000 online, big themes that came out of that as we demonstrated a single information. We have demonstrated the promise, finally, the promise of information management were across SAP, Salesforce, Microsoft, Google, ourselves, others, the same data shared across all these business applications seamlessly. Also a very strong and positive response to sustainability and just how important this is in their world from recycling lubricants to full cycle battery care and to ICs and sensors and agriculture. So, those were some of the feedback from the event.
Paul Treiber: Looking at your cloud business, can you help explain the off-cloud renewal rates remain quite high despite uptake of the cloud. Is that the cloud bookings, is that coming more from new workloads and new customers as opposed to a sort of a mass migration of your existing installed base?
Mark Barrenechea: Yes.
Paul Treiber: Do you want to?
Mark Barrenechea: I could say it, yes, yes. You did give me a multiple choice. You gave me yes, I don’t know. Yes it is and I will give you and you are hearing this kind of the narrative. The first time for me is that our public SaaS workloads are added to our P&L, to our revenue. And so we have always talked – we have talked about our 90-day release cycles. We have talked about Titanium coming in these chunks yes. Titanium is an end date, right, it’s not a start date. And we are winning business. We are winning workloads, it’s moving on bookings to revenue, and these are new. Customers gain great value off-cloud and as you noted a 95% renewal rate. By the way, Micro Focus customers will benefit from that accelerated renewal rate. And then we add services on top of that. We could add public workloads on top of that. We could add APIs on top of that. We could add the managed services on top of that as well. So, we expect continued strength in our renewals business.
Paul Treiber: And just lastly, how do you think about – since you are giving cloud bookings, like the seasonality of bookings, the license business historically has been quite seasonal. Should we expect cloud bookings to be that seasonal?
Mark Barrenechea: We are going to have to let me – Madhu and I will think through that. We are an annual business and we are an annual business and quarters will vary. But let us think through kind of the seasonality of those bookings. But I will leave that with Madhu and I and we will think a little bit about that.
Paul Treiber: Thank you. I will pass it on.
Operator: [Operator Instructions] The next question comes from Richard Tse of National Bank Financial. Please go ahead.
Richard Tse: Yes. Thank you. Just wondering if you can maybe update us on the major milestones here to clear prior to closing the transaction in Q1 – calendar Q1?
Mark Barrenechea: What’s primarily remaining or sort of customary regulatory filings and approvals.
Richard Tse: Okay. So, the major one was recently the shareholder vote, I guess.
Mark Barrenechea: That’s right. Yes, that’s correct. So we – shareholder vote, which was obviously positive into the affirmative. We have a series of regulatory filings. And Richard, we expect to be closed next quarter.
Richard Tse: Okay. And then – thank you for sharing that information in this deck you published on your quarter, that’s helpful and I was looking at the organic growth section. And you have obviously had a continued pace of organic growth in recent quarters here. Given everything you highlighted about what the collective Micro Focus-OpenText brings, do you think that there is kind of a reasonable chance here that, that organic growth rate could accelerate beyond sort of the run rate that you have had given the size of the two companies?
Mark Barrenechea: Yes. I am not going to comment, but I appreciate the question, Richard. It’s a great question. We clearly feel very positive on our core business and especially amidst the global macro conditions. But I am going to reserve the answer to post closing to update our growth projections. But as I have said in our commitments, we have our core OpenText business. We had seven consecutive quarters of cloud growth in constant currency. We don’t see a change in the dynamic in the coming quarters on the macro side and the core of our business. We see – we are committing to returning Micro Focus to organic growth. What the enlarged group rate of organic growth is, I will reserve that until we close. But this is not just our ability to get upper quartile adjusted EBITDA, not for quartile adjusted free cash flows, we believe that the enlarged group will grow.
Richard Tse: Okay.
Mark Barrenechea: The rate of which, we will talk about it on closing.
Richard Tse: Okay. And just the last one from me, obviously, the stock price hasn’t kind of reflected, I think the degree of potential accretion of this transaction. And we are certainly kind of ahead of the history that we have seen many acquisitions integrated. So, looking back sort of in context, like can you maybe talk about, in your history with the company, what was the most challenging historic acquisition OpenText made prior to Micro Focus? And how do you think Micro Focus would compare that from a complexity of integration standpoint? Is it easier about the same, harder just to kind of give people some context, because I think by and large, those are the questions I am getting that, that’s really where the concern is that’s sort of the integration and the complexity of that? Thank you.
Mark Barrenechea: Yes. There is a lot in there, and I appreciate it. And I appreciate the question. We are focused on building one of the world’s largest cloud and software businesses. And we are a quarter away from our close. And like I am not going to – I don’t know how to truly comment on a stock price other to say that when you look at a situation where markets can value risk, markets can’t value uncertainty. And we are closing. We are confident we are going to close. We are confident in our models. And we have a different perspective of the – perhaps the uncertainty. And it’s okay. We are building our business, we are building the world’s largest – cloud and software businesses, the performance of both companies are very clear. Our business is growing. You have heard our commitments and investors will make their choice. We have made our choices, and we are owners, not renters in our business. And we are focused on building for the long-term. I will tell you some of our experiences that will shape the integration plan. We look at Documentum, and we turned a low margin, low efficient renewal business into a powerhouse. That informs us very well on the renewals business. We acquired two HP businesses prior to this. So, we have good insight into culture and value and systems. Our playbook of – we are going to make the hard decisions early, not late. We take a philosophy of adopting go. There is two of something, we don’t need a third. We got two of something, we are going to pick one, adopt and go. We will pick our leadership team early. We will integrate fast. We will consolidate to the best working system. We will pick the best of the people, and speed, and unity is top of the mark. So, let me just pause there and see if there is anything you want to go into.
Richard Tse: No, that’s good. No, I think it’s just too important for people to have that context because I am not sure that everyone to have that history in terms of seeing the acquisitions you have made and sort of the success that you have had, so anyways that’s great. Thank you very much.
Mark Barrenechea: Yes and if we put just ratios in perspective, right, when we acquired GXS, it was – we added a third to our business. Upon closing next quarter, this will add 43% to our business, right. So, we are stepping up from 33% to 43%. And we are a much larger company today, much more efficient company than when we brought GXS onboard.
Richard Tse: Okay. Thanks Mark. Appreciate it.
Mark Barrenechea: Thank you.
Operator: The next question comes from Thanos Moschopoulos of BMO Capital Markets. Please go ahead.
Thanos Moschopoulos: Hi. Good afternoon. Mark, I don’t know if you can comment, but also you can stab at it, which is the macro backdrop. Obviously, you see a bit different now than it was when you announced a Micro Focus transaction, how might we think about just the potential macro impacts and how that might play out Micro Focus? I mean could you point to, for example, maybe some of the areas you are focused on like application modernization and perhaps macro resilient, or just any comment just how to think about that given the changing backdrop?
Mark Barrenechea: Sure thing, well, I think the first is, I just start actually at an industry level, an industry exposure. The ability of governments there is sort of good cholesterol and bad cholesterol, right. I mean good cholesterol, around having strong exposure to governments, heavy manufacturing, healthcare, local government, not just Federal, but local as well. A lot of great work happening in financial services as well. And these are industries where we have sort of common weight, if you will, across the two businesses. These are good places to be for – regardless of inflation. We at OpenText, continue to put our annual price increases in place, currency adjustments. The market has changed a bit where it’s accepting from tech companies price increases and you are grabbing them more judiciously. A practice we will make sure that we apply. So, I mean Thanos, I don’t want to get into too much detail on their portfolio, what’s sort of more inflation maybe or for macro adjusted cyber, the full stack cyber security trust and compliance. The needs are skyrocketing. We have commercial customers who will no longer just accept SOC 1, SOC 2 and sort of industry security and compliance. They want FedRAMP or Protected B or the equivalents in other countries of military style security and compliance in the private cloud, not just their commercial. That will apply very directly over to Micro Focus as well. So, I will reserve that until we close, but maybe the industry comment, the security and privacy comments are helpful.
Thanos Moschopoulos: Great. And then just a quick one for Madhu, which is your cloud gross margin is obviously up a fair bit year-over-year in the quarter. That you are guiding for cloud margins to be constant on a full year basis in ‘23 versus ‘22? So, just remind us why that’s the case, I mean despite the fact that you are obviously seeing the cloud growth and you integrated GXS, it looks like, I can see some leverage on the cloud gross margin line versus some of the offsets in that regard?
Madhu Ranganathan: Yes. Absolutely, so in the quarter, our cloud gross margin was 130 basis points higher year-over-year. But you surmise is reasonable in terms of how we look at it for the remainder of the year. We are going to continue to prioritize investments in cloud for all the reasons Mark has been sharing in the remainder of the year. Should we do better and acquire less over time, we will definitely see the cloud gross margins improve. Zix, Carbonite, our SMB&C, where it’s purely SaaS cloud, they are holding the gross margins, obviously. So, the investments and improvement, you will see coming out of the enterprise side. So, yes, we are holding it somewhat flat. And as we evaluate investments and gain efficiencies earlier, you might certainly see some pickup towards the end of the year.
Thanos Moschopoulos: Yes. Clear. Thanks.
Operator: The next question comes from Daniel Chan of TD Securities. Please go ahead.
Daniel Chan: Hi. Good afternoon. Mark, given that it looks like this deal is going to go through. Any things you guys ramping up now or any investments that you need to make ahead of the deal closing. For example, you guys were talking about big cross-sell opportunity with the cloud. Do you have to scale up your cloud infrastructure when that deal closes?
Mark Barrenechea: Yes. Dan, thanks for the question. It’s normal course investments right now. Our private cloud, we have always had a very great – very modern process that when we win a private cloud, we are able to onboard the infrastructure rapidly and with more hyperscaler partnerships, our ability to provision and turn on as a matter of days right now, getting to kind of the physical environment. Look, if our public SaaS workloads go faster, that would be a delight. And then we would have to talk about the more capital investments we need to make there. We just made some, as you have noted – as Madhu noted, as we are seeing our own Titanium scale ramping. But I wouldn’t say anything out of the normal course right now. And our private cloud is a great model where we can – upon winning big contracts and big business, we can get infrastructures up in days now, not months.
Daniel Chan: Thanks. That’s helpful. How about on the Micro Focus side with the revenue stabilizing, it looks like much of the heavy lifting has worked. But any other investments in Micro Focus’ products after you close the deal to integrate with yours? Thank you.
Mark Barrenechea: Yes. Dan, as we noted earlier, together, the issue is not investments on the combined R&D line. We have plenty of investments. We are going to have exciting prioritization opportunity of how we prioritize the full security stack, how we prioritize private cloud. So, it’s not about the need for a higher investment rate. We are up to 14%. If you can remind me, I think they are up to 15%-ish on their R&D investments. That’s a good healthy investment spend. So, when we close, we will talk about the joint prioritization.
Daniel Chan: Thank you.
Operator: Thank you. I will now hand the call back over to Mr. Barrenechea for closing remarks.
End of Q&A:
Mark Barrenechea: Alright. Very good. Thank you, Madhu. Thank you, Harry. Thank you everyone for joining us today. Harry, Greg, Madhu and myself, we are very prescriptively taking the approach to have high engagement this quarter. As you heard in Harry’s comments, we have close to a dozen conferences we will be attending, including myself. We look forward to the high engagement and thank you for your interest in OpenText. That ends today’s call.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.